Operator: Good day! And welcome to Global Industrial Company First Quarter 2023 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. Please note, this event is being recorded.  I’d now like to turn the conference over to Mike Smargiassi, Investor Relations. Please go ahead.
Mike Smargiassi: Thank you, and welcome to the Global Industrial First Quarter 2023 Earnings Call. Leading today's call will be Barry Litwin, Chief Executive Officer; and Tex Clark, Senior Vice President and Chief Financial Officer. Formal remarks will be followed by a question-and-answer session. Today's discussion may include certain forward-looking statements. It should be understood that actual results could differ materially from those projected due to a number of factors, including those described under the forward-looking statements caption and under Risk Factors in the company's Annual Report on Form 10-K and Quarterly Reports on Form 10-Q. The press release is available on the company's website and has been filed with the SEC on a Form 8-K. This call is the property of Global Industrial Company. I will now turn the call over to Barry.
Barry Litwin: Thanks Mike. Good afternoon everyone and thank you for joining us. First quarter performance reflects a continuation of the recent demand environment, with average daily sales declining 3.7%. Price was neutral in the period and volume remained muted, reflecting cautionary purchase behavior, specifically within our core, small and medium business customer base.  These trends have continued into the second quarter. We recorded strong growth from our largest accounts in the quarter. In addition, customer retention remained healthy overall, which we believe reflects the value of our one-to-one managed sales organization. We were very pleased with gross margin performance of 35.9%, a slight decline from sequential quarter results, but as expected, off from record results in the year-ago period. Product margin was solid and expanded each month as we moved through the quarter, reflecting a continuation of the benefit we are receiving from lower-cost inventory flowing into our cost of sales. Our focus on the customer continues to drive our strategy, and we made further progress on operational excellence and digital transformation initiatives during the quarter. Recent e-commerce sales performance on our new web platform has been below our expectations. We have identified a number of user experience changes that are increasing friction while navigating our e-commerce site. We aggressively worked to address these issues. In this regard, we recently completed navigation enhancements on the product experience to enhance shopability and additional optimization efforts are ongoing.  With the current customer environment focused on value and price, we believe we are well-positioned for the long term. Our position is centered on providing exceptional product and service solutions to customers, and through our leading exclusive brand assortment, strong national brand assortment, and our pricing analytics, we continue to provide significant value to customers while generating healthy gross margins. At the same time, we continue to make marketing investments to help increase customer acquisition and feed new business into our e-commerce and managed sales channels. In the quarter, we increased total marketing investment, and we expect to continue to make further target investments in an effort to support growth and market share gains. Looking forward, the customer demand environment remains challenged, and our small and medium business base cautious. That said, we believe we have the tools and resources to navigate the current market conditions and remain committed to investing in key growth initiatives to drive our long term success. Across the business, we are focused on delivering an exceptional customer experience, driving operational excellence, and proactively managing our cost structure. We believe we have a powerful customer growth model that allows us to efficiently migrate customers up our sales funnel, while building deep and loyal relationships. Global Industrial's private brand offering, one-to-one managed sales team, operational flexibility, and the efforts of our associates allow us to deliver significant value to our customers. Industrial distribution market remains highly fragmented and we continue to see numerous opportunities for growth. With an exceptional balance sheet, we remain well positioned to execute on our strategy, invest in future growth, explore organic and strategic growth opportunities and build long term value for our stakeholders. I will now turn the call over to Tex.
Tex Clark : Thank you, Barry. First quarter revenue was $273.8 million, down 5.1% over Q1 of last year. Average daily sales were off 3.7%. U.S. revenue was down 3.7%, while revenue in Canada was off 17.3% in local currency. Excluding the benefit of a large one-time deal last year, Canada's sales declined approximately 6.4% in local currency. Price was neutral in the quarter, in contrast to pricing benefit recognized throughout most of 2022. We did see contraction in AOV in the quarter, primarily attributed to a lower number of large opportunities in the period. Demand softened as we moved through the quarter, and we have seen a continuation of this trend into the start of the second quarter. Overall, we believe customers remain guarded in their buying decisions and the pricing environment remains competitive. Gross profit for the quarter was $98.4 million, down 8.7% from last year. Gross margin was solid at 35.9%, a slight decline from sequential quarter results, but off from the record 37.4% in the prior year. The year-ago period benefited from strong price realization and lower-cost FIFO inventory sell-through, both of which have fully waned. Product margin trends improved as we moved through the quarter, as we benefited from lower total landing costs, primarily the result of declining ocean freight costs. We do expect to see favorable LTL costs as we move through 2023, as we rebalance our carrier mix with a key focus on cost to quality and speed of service.  We've remained focused on maintaining our margin profile in the current environment. However, we expect continued variability throughout 2023 as we navigate seasonality, work through select categories of inventory that maintain a higher cost profile, manage the increasingly competitive pricing environment, and look to continue to drive value for our customers through competitive price initiatives.  Selling, distribution and administrative spending for the quarter was $80.6 million or 29.4% of sales, an increase of 230 basis points from last year. SD&A primarily reflects the fixed cost nature of the business, including compensation expense, which included the impact of our previously announced reduction in the force, planned and marketing investment, and the expansion of our DC network. We continue to maintain strong cost controls and will evaluate additional steps to optimize our structure.  Operating income from continued operations was $17.8 million in the first quarter, and operating margin was 6.5%. With a strong commitment to invest in our long-term growth initiatives and the fixed cost deleveraging given the current demand environment, operating margin is likely to remain challenged near term.  During the quarter we generated cash flow from continued operations of $28.5 million. Total depreciation and amortization expense in the quarter was $1.1 million, while capital expenditures were $0.7 million. We expect 2023 capital expenditures in the range of $6 million to $8 million, which includes primarily maintenance-related investments and equipment within our distribution network. Let me now turn to our balance sheet. We have a strong liquid balance sheet with a current ratio of 2.2:1. As of March 31, we had over $48 million in cash and no debt. We ended the quarter with approximately $116.6 million of availability under our $125 million credit facility. The continued improvement in our debt position reflects decreased working capital needs as inventory levels normalize and total inventory landing costs moderate.  We maintain significant flexibility to fully execute our strategic plan and to continue to fund our quarterly dividend. As a result, our Board of Directors declared a quarterly dividend of $0.20 per share of common stock.  This concludes our prepared remarks today. Operator, please open the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Anthony Lebiedzinski with Sidoti. Please go ahead.
Anthony Lebiedzinski: Thank you, and good afternoon, and thanks for taking the questions. So yeah, I appreciate the color as far as talking about the large account segment and SMB as well. But just curious, within the SMB business, were there any particular vertical markets that stood out one way or the other or was the weakness that you saw kind of broad-based across your core customer group?
Barry Litwin: Yeah, it's a great question Anthony and thanks for joining. I would say that we have from an SMB perspective, I would say the softness was fairly broad across the whole network, and obviously we play in the – you know everything from retail to manufacturing, logistics and some of the new markets that we're in as well. So I would say it was fairly broad.
Anthony Lebiedzinski: Right, and as far as those new markets that you've talked about previously, as far as healthcare and hospitality, did you see any – or maybe if you could just quantify any sort of revenue impact for the quarter? Was anything meaningful? 
Barry Litwin: Yeah, those two segments Anthony as you know, and we've talked about that for some time, those are fairly new segments for us to grow into, both hospitality and healthcare. So they are kind of at an early stage in terms of growth. So I would be pressed to say that there was really any material impact out of some of the newer markets.  I think in terms of some of our core broad-based, end-use markets, I think those are where we saw more broad-based softness and particularly within the SMB segment as opposed to more of the larger enterprise accounts. 
Anthony Lebiedzinski: Understand, okay. And then as far as the comments about the new web platform, you talked about identifying a number of user experiences and changes as far as navigation and so on. So can you go into a little bit more depth as to what happened there and what you've done to improve the situation?
Barry Litwin: Sure, sure, it's a great question. You know in Q1 we saw some data trends that we really didn't like in the product navigation shopping experience and browse experience. And I would tell you Anthony, this was really an event during the period and not an ongoing concern. We addressed it aggressively in the first quarter with a number of navigational experience changes, and believe at this point that it's cured with some of the trends normalizing, and I don't expect it to really have negative impact going forward.
Anthony Lebiedzinski: Okay, got it, okay. And then you talked about the gross margin improving as the quarter progressed. Has that trend continued into the second quarter?
A - Barry Litwin: Yeah, we're continuing to manage gross margin really well. We were pleased with kind of the strong performance at 35.9%. As we mentioned during the call, I think supply chain issues have really retreated at this point and we're enjoying some of the benefit of lower landed cost relative to ocean freight reductions.  I think we're spending some – I think a really good effort around price intelligence to keep us competitive in this market amidst the backdrop of no price appreciation, really in our revenue. I think the customer market for the most part has turned more to value and price and I think we're managing that well and have shown good discipline in overall margin management.  I think we're definitely going to look at going forward and part of our plan now, is to focus on COGS improvement, both out of our private brand and strategic supply relationships. I think that's going to be important to our overall margin expansion going forward and obviously keeping close and maintaining a competitive price position and a value-based market through other tools and capabilities that we have. So I do expect stable gross margin as we go forward.
Anthony Lebiedzinski: Got you. All right, well thank you. I'll pass it on and best of luck!
Barry Litwin: Sure. Thanks Anthony.
Operator: This concludes our question-and-answer session, and concludes our conference call today. Thank you for attending today's presentation. You may now disconnect.